Operator: Good morning and good evening, everyone. Welcome to Cango Inc.'s Third Quarter 2020 Earnings Conference Call. [Operator Instructions]. Joining us today are Mr. Jiayuan Lin, Chief Executive Officer; and Mr. Michael Zhang, Chief Financial Officer of the company. Following management's prepared remarks, we will conduct a Q&A session.  Before we begin, I refer to you to the safe harbor statement in the company's earnings release, which also applies to the conference call today as management will make forward-looking statements.  With that, I am now turning the call over to Mr. Jiayuan Lin, CEO of Cango. Please go ahead, sir.
Jiayuan Lin: Hello, everyone, and welcome to Cango's Third Quarter 2020 Earnings Call. In the second half of this year, China's auto market has regained momentum with gradual recovery in the lower-tier cities, with steady progress across our business. We are pleased to see a significant rebound in both our financial and operational performance.  Total revenue in the third quarter was approximately RMB435 million, outperforming the high end of our guidance range by approximately 32%. In particular, our aftermarket services facilitation revenue grew to RMB68.9 million, accounting for nearly 15.8% of total. Our car trading transaction business also contributed considerable revenue in this quarter reaching RMB70.4 million. Operating income sustained its growth momentum from the previous quarter and came in at approximately RMB135 million, mainly attributable to our effective cost control initiatives.  Finally, our net income of this quarter was close to RMB1.8 billion, mainly attributable to the significant investment gains from Li Auto. Our deep and wide coverage of dealership network, continuous upgrades and innovations of products and services are the main drivers for our sustained growth. We are committed to building an integrated platform that serves all parties in the automotive value chain while offering safe, professional and efficient auto transaction-related products and services to our customers.  By implementing our key growth strategy and successfully expanding our core and new businesses, we are witnessing increasing demand for our products and services, which is leading to improved operating efficiency and gains in market share. Let's start with our core auto loan facilitation business. In the third quarter, we facilitated RMB7.5 billion financing transactions up 30% from the same period of last year, marking the first period of year-on-year growth since the pandemic outbreak. As of September 30, 2020, the total outstanding balance of financing transactions the company facilitated reached RMB38.9 billion. In terms of dealership network, with our proactive expansion in 4S stores and introduction of new products, the number of new dealers is growing again. By the end of this quarter, we have had a total of 46,248 registered dealers nationwide, maintaining our leading position in auto financing with the most extensive coverage of dealers for new cars in China. More importantly, after optimizing the efficiency of our lower-tier dealership network over the past quarters by terminating relationships with dealers that were not up to our standard for -- on operating risks and traffic generation capabilities, we have seen a significant improvement in the overall operating efficiency in the lower-tier markets. Additionally, by providing more diversified products and services, our dealers are becoming more active, and along with the auto market recovery, transaction volumes definitely increased. Earlier this year, we mentioned that future consumer demand started to diverge significantly with more consumers and customers pursuing higher-end brands. For Cango, we plan on expanding into high-end and luxury segments of the market while furthering our 4S stores network. With this goal and strategic plan in mind, we have set up a dedicated team to target high-end brands. Since the inception of this plan in July, we have established a partnership with Mercedes-Benz, BMW and Audi, to name just a few. And the number of 4S dealers partnering with us is rapidly increasing.  In the third quarter, business volume contributed by 4S stores have been doubled month-by-month, and our efforts to develop the business of 4S stores enables us to capture potential in this market and help Cango gain further market share. Going forward, we plan to deploy more resources to improve its coverage. Turning to asset quality. During the third quarter, the overdue ratio was continuously improved and the overall asset quality was close to the pre-pandemic level. As of September 30, 2020, the M1+ overdue ratio decreased to 1.11% from 1.59% as of June 30, 2020, and M3+ overdue ratio decreased to 0.53% from 0.84% during the same period. In addition to strengthening our core auto loan facilitation business during the third quarter, we also continued our pursuit of expanding our aftermarket services facilitation business. In particular, our insurance facilitation services achieved an outstanding performance during the quarter. It is worth noting that we successfully built our key account sales team and call center for our insurance business in the third quarter, which greatly improved the conversion rates of our overall insurance facilitation business. The team acquires new customers, mainly from outside of our registered dealership networks, including repair shops and aftermarket service providers. Now KA sales of our insurance products have become an important driver for our future growth. Our insurance facilitation services have shown great growth potential. Looking ahead, we will continue to explore other premium insurance transaction channels and categories to meet the increasingly diverse needs of consumers as well as to expand our insurance product offerings to include those insurance categories of higher transaction values. As our products become more diversified and tailored to the needs of customers and consumers, the entire service experience will become more enriched for them. Our next step is to focus on aftermarket services, in which we will further enhance our technology service capabilities to improve the customer experience, stickiness and engagement. At the same time, the KA sales business model mentioned above will help us further expand our customer base and bring new growth opportunities. In terms of our cooperation with strategic partners, the OEM-subsidized products we make by our cooperation with ICBC was launched to the market in July 2020 with Dongfeng Nissan, FAW-Volkswagen and GAC Honda included in our first batch. As China's leading technology-based automotive transaction services platform, we are always closely monitoring the latest market trends and taking them into consideration when developing our growth strategies. New energy vehicles or NEV is an inevitable trend in the evolution of the automotive industry. We have firm confidence in this market and have begun to invest in this field. Our investment in Didi-Chuxing [ph] back in 2018 is expected to bring significant investment returns and strategic cooperation opportunities following its listing on NASDAQ. Our investment in Li Auto was not only made for financial returns but also from a strategic perspective.  On one hand, our business model is highly aligned with the NEV operation of model and leveraging our extensive industry experience, China's largest off-line new dealership -- new car dealership network and our industry know-how and capabilities. We are able to empower the NEV manufacturers and help them realize the last-mile of their direct sale model.  At the same time, our wide lower-tier network and on-ground service capabilities enable us to provide additional value by helping those NEV move the whole process online and truly provide our customers with efficient, affordable, transparent and simple one-stop services. We have current Didi Autos service partner nationwide and cover all Tesla schools in Shanghai, leveraging our successful experience and increasing popularity of NEV. We are looking forward to establishing close partnerships with more NEV OEMs in the future. We have high confidence in the growth potential of NEVs, and we'll continue to deepen our exploration in this field and accelerate a healthy development of the whole industry. Next, I would like to discuss our new independent sales rep initiative. This new sales rep network is completely independent of our dealership network through social efficiency by utilizing each agent's social relations to amplify our marketing efforts and maximize our consumer growth in a cost-effective way that creates direct assets to our target customers and build up our private traffic, forming a closed transaction loop. Through our technology platform and by utilizing social tools, we are offering product, services and technological power. Through this registered agent network on our platform, we can reach consumers in lower-tier markets more effectively and directly, and in return, provide them with best products and services. Since we started our pilot project in Guiyang, Guizhou area in July, we have seen a very satisfying results. As of now, we have more than 4,000 registered agents, and we expect to expand this new business model in China's other regions in the future. Turning now to our car trading transactions business. We have made a lot more effort in this area since the beginning of this year, and we have built up our dedicated team and business process in the third quarter. The head of this business segment is an industry veteran with over 15 years of experience in this area, and we expect to see stronger development and more meaningful revenue contribution in the coming quarters. Since the beginning of 2020, COVID-19 and resulting market volatilities have created a lot of opportunities for us to explore new business and models. We are very pleased with our performance at this stage. Our consistent exploration and innovation demonstrate our management team's business acumen and our ability to follow the industry trend as well as strong management and execution capabilities. Looking ahead, we remain committed to providing a more user-centric product mix around automotive, financing and transaction, while at the same time, further deepening our dealership network and extending our service footprint. With that, I will now turn the call over to our CFO, Michael Zhang, to review our financial performance in this quarter.
Michael Zhang: Thanks, Jiayuan. Hello, everyone, and welcome to our third quarter 2020 earnings call. Before I start to review our financials for the quarter, please note that unless otherwise stated, all numbers are in RMBterms and all percentage comparisons are on a year-over-year basis. Total revenues came in at CNY434.9 million in the third quarter of 2020, once again outperforming our previous guidance range. In addition, our aftermarket services facilitation business continued to serve as an important growth driver, generating CNY68.9 million in revenues for the third quarter and accounting for approximately 16% of total revenue. Car trading transactions business also become a meaningful growth driver this quarter, contributing CNY70.4 million in revenues. Now let's move to our cost and expenses during the quarter. Total operating cost and expenses in the third quarter of 2020 was CNY300.4 million compared to CNY261.6 million in the same period 2019. This was in line with the increase in the company sales volume and related costs incurred by car trading transactions. Cost of revenue in the third quarter of 2020 increased by 44.2% to CNY180.9 million from CNY125.4 million in the same period 2019. As a percentage of total revenues, cost of revenue in the third quarter of 2020 was 41.6% compared to 35.7% in the same period 2019. Excluding this financial impact from the car trading transactions, cost of revenue as a percentage of total revenue was 30.3% in the third quarter of 2019. Sales and marketing expenses in the third quarter of 2020 were CNY41.9 million compared to CNY47.6 million in the same period 2019. As a percentage of total revenue, sales and marketing expenses in the third quarter of 2020 decreased to 9.6% from 13.5% in the same period last year. The increase -- the decrease was a result of the company's effort to improve the efficiency of cost and marketing spending while growing its revenue concurrently. General and administrative expenses in the third quarter of 2020 were CNY52.2 million compared to CNY52.3 million in the same period in 2019. As a percentage of total revenues, general and administrative expenses in the third quarter of 2020 decreased to 12% from 14.9% in the same period last year. Research and development expense in the third quarter of 2020 were CNY14.2 million compared to CNY13.2 million in the same period of 2019. As a percentage of total revenue, research and development expense in the third quarter of 2020 decreased to 3.3% from 3.8% in the same period last year. Net gain on risk assurance liability in the third quarter 2020 was CNY12.9 million compared to a net loss of CNY7.5 million in the same period last year. Net gain on risk assurance liability was mainly due to a decrease in the delinquent loan balance and default rates. We recorded income from operations of CNY134.5 million in the third quarter of 2020 compared with CNY89.7 million in the same period last year. Net income in the third quarter of 2020 was CNY1,769.4 million. Non-GAAP adjusted net income in the third quarter of 2020 was CNY1,783.2 million. On a per share basis, our diluted net income per ADS in the third quarter of 2020 was CNY11.78, and our diluted non-GAAP adjusted net income per ADS in the same period was CNY11.87. Moving on to our balance sheet. As of September 30, 2020, we had cash and cash equivalents of CNY1.4 billion compared to CNY2 billion as of June 30, 2020, mainly due to the fact that the company invested a certain amount of cash in term deposits and repaid debts. As of September 30, 2020, the company had long-term investment of CNY2.3 billion compared to CNY551.5 million as of June 30, 2020. The increase was mainly due to the change in fair value of the company's investment in Li Auto. Looking ahead to the fourth quarter of 2020, we expect our total revenue to be between CNY700 million and CNY750 million. Please note that this forecast reflects our current and preliminary view on market and operational conditions, which are made in consideration of uncertainties in market caused by the COVID-19 outbreak and are, therefore, subject to change. This concludes our prepared remarks. And operator, we are now ready to take questions.
Operator: [Operator Instructions]. The first question today comes from Shelly Wang with Morgan Stanley.
Shelley Wang: First of all, congratulations to the management for your outstanding performance in the third quarter. And I have actually -- I actually have 3 questions. Well, the first question is about your outlook for your fourth quarter performance and your performance for next year. Well, if you look at the monthly sales of the brands -- car brands in China, we are witnessing strong rebound in China's auto market, in particular, the China domestic OEMs, such as Changan and Great Wall.  And based on your presentation, your guidance for next quarter for your revenue is about CNY700 million to CNY750 million. So could you share with us your outlook on your performance in fourth quarter and for next year in more detail? And also which business lines do you expect to contribute more to this growth in the fourth quarter? Is it car -- your core car loan business or new business?
Jiayuan Lin: Thank you very much, Shelley, for your questions. Well, indeed, from third quarter to fourth quarter, we expect the car market to continue its strong rebound, especially in the lower-tier cities. Well in our previous quarter presentation, we mentioned that actually in the first half of this year, the lower-tier market segments have been relatively slow in terms of their recovery. However, in the third quarter, these lower-tier markets definitely picked up its recovery speed, especially the 2 brands that you mentioned, Changan and the Great Wall. So it's the -- so your observations are the same as ours. Well, in terms of our guidance for the fourth quarter. So definitely, we expect to see stable growth and steady growth in the fourth quarter in terms of our performance metrics. And on our guidance for the fourth quarter -- well, actually, in the third quarter, we already see equivalent revenue contribution from our new business line. So in the fourth quarter, we expect significant contribution to our top line from our car trading transaction business. So actually, in terms of the guidance for the fourth quarter, we expect the car trading transaction business contributing 40% to our business growth.
Shelley Wang: My second question is about the 4S dealership network. Well, in your presentation, you mentioned that Cango plans on exploring and developing your footprint in the higher-end market segments. However, in the 4S market, we already see car financing services also by the premium car brands such as BMW. So how are you going to differentiate yourself in this competition? And my third question is about the impact of the insurance reform -- auto insurance reform launched in September. So how is -- how are those policies going to impact on your business?
Michael Zhang: Shelley, I will take your questions. The first question about how are we going to gain market share in the 4S dealership market. Indeed, in China, the 4S dealership market is huge. And we are also seeing strong efforts by banks and the AFCs, auto financing companies, to develop their footprint in this market. However -- well, for all our target market share, we are not very ambitious. We only aim for 10% to 15% of the market share.  And how are we going to gain this market share? Well, it's going to be on our differentiated services. Well, first of all, we offer important services for our customers. And on the other hand, we also -- different from offline service providers by offering strong service capabilities online and, for example, like our partnership with Ant. So -- and actually, we have received very good feedback from our customers from -- for our online services. So this is how we are going to be different from the AFCs. So again, we are not going to compete directly with -- against the ASCs because we are not so ambitious in terms of our market share. Just one thing about our product offerings in the 4S market. Well, we are also selling the bank's products to our customers in this market. So actually compared with the local banks, where 4S stores are located, our partner banks, they have a stronger financial position and they are offering lower cost of capital.
Jiayuan Lin: Well, about your third question, the impact of the insurance reform policies launched in September. Well, indeed, these new policies have put some pressure on our insurance facilitation business. However, we have already taken some countermeasures to mediate -- to mitigate the pressure amount. First of all, we are working with larger insurers to offer better products and services to our customers, thereby gaining market share in this industry transformation. And secondly, we are combining our insurance products and services with our car financing business. In other words, we are utilizing cross-selling strategies to -- over more diversified mix of products and services to our customers, improving their experience. In addition, we are stepping up efforts to build up our KA model, key account sales model, and so that we are able to integrate our resources in this regard and to prepare ourselves for market developments in the next year.
Operator: The next question comes from David Tang with Goldman Sachs.
David Tang: First of all, congratulations to the management on your outstanding performance in the third quarter. And we are also very excited by your outlook for the fourth quarter. My questions are mostly on industry competition. Could you give us more colors on the trends -- the market trends in both the 4S market and in the lower-tier markets since the third quarter, or in other words, the post-pandemic markets? So -- and my question is mostly on auto financing. And the second question is, could you share with us your observations on the market -- your market share and development? And how it's going to be in the future?
Jiayuan Lin: David, I will try to answer your questions. Well, actually, the pandemic and the market downturn has given us more time to rethink our business models and to initiate new measures to improve our business models. And while over year -- thanks to the over 10 years of development, we are now well-recognized by our partner banks for our high-quality service and a very well-designed business process, which deliver very good experience to our customers and consumers. And that's why banks working with us are happy to provide with us low-cost of capital products. And thanks to these efforts, we are able to further improve and enhance our core business. And that's for the core business.  And then for our new business lines, over the past few months, we have developed and implemented a series of initiatives to develop new business lines. And the initial results have given us more confidence in our future and our strategic directions. And these new business lines or initiatives include our efforts to expand into the higher-end 4S stores and NEV market as well as establish -- as well as setting up the sales rep initiative for our insurance products. And also, in addition, we are -- we have successfully launched our car trading transaction business.
Michael Zhang: Thank you. I would like to add a few observations from my side. Well, first of all, on the demand side, well, in fact, during the pandemic and after the pandemic, in the lower-tier markets, we are seeing the market conditions for the small dealers changing significantly. Well, what I mean is that the smaller dealers in the lower-tier markets, they are in a very disadvantaged position now. Although we are seeing rebound in market demand in the recent months, the conditions for the dealers have improved slightly. Still, the smaller dealers, they need strong partners to help them get access to more resources and to help improve their service capabilities. And this is where Cango can offer value to our partners in the lower-tier markets. And this is also where we see the value of the market -- lower-tier markets is. And this trend is very obvious in the pandemic. And so for us, the key is to establish -- to help establish ecology based on our platform by -- and offer diverse range of services and products. And this definitely will give us more room to grow and will also will help these dealers in the lower-tier markets to grow together with us. And on the demand side, the second point I would like to make is about the higher-tier or the first-tier in second-tier cities and also the higher-end market segments, that is the 4S markets touched upon by Mr. Lin. Well, again, in these markets -- market segments, we are seeing some unmet needs here by our partners, for example, in terms of service efficiency and process efficiency. So we do see a lot of opportunities for us to facilitate -- drive our growth. And actually, since July, when we established our teams, in the past 3 to 4 months, we are -- already achieved new business growth for our partnership with 4S stores, in luxury and premium brands. In the future, we believe that with our strong service capabilities and also our high-quality financing resources, we will be able to further drive the growth of our 4S market segments. And on the supply side, well, Cango is China's leading auto financing platform. And during the pandemic, we are seeing profound changes in competition -- industry competition. Actually, since last year, we already saw the trend of market consolidation. And this year, this consolidation has picked up pace, in fact. So in the future, we believe only platforms that have a unique -- that have their unique core competencies and that are able to deploy well-designed business strategies and that can offer strong products and services to customers will be able to survive and grow.
David Tang: Thank you very much for your answers. And congratulations again on your strong performance.
Operator: [Operator Instructions]. We have no further questions at this time. I would now like to hand the call back to management for any closing remarks.
Jiayuan Lin: That closes today's earnings call. Thank you all for your participation.
Michael Zhang: Thank you.
Operator: This conference has now concluded. Thank you for attending today's presentation. You may now disconnect.